Michel Gerber: Okay. Good morning, everybody to this year's VAT Q4 and Full Year Results Presentation. We started the session a little bit differently, as you may have noticed also when you came in. The reason is that today we officially launched our new brand and corporate design campaign that has been developed over the last months by our corporate communications team, headed by Anja Brun, who is here, and Naomi, who is taking pictures. And I think it's a very ambitious project that the team went through after 60 years of VAT. Today, this year, we celebrate the 60th birthday. And, of course, eight years, nearly nine years after the IPO, it was time for a refresh of the existing brand image that we have. So we not only, or the team, not only changed the font and the colors, I mean, we also finally jumped into the presence. We now have a new URL or web address which is vatgroup.com, no longer the VAT Valve. And I think important with that change is also, we are more than valves. Valve is our core. We started with that. We are still extremely strong in that, world market leader, but we are also more. And I think that is put together better also in the VAT Group web address, but also stationary and everything had to be changed. We kept the logo nearly unchanged. There is a small change in it and maybe afterwards, you can try to figure out what the change is. It's very subtle, but there is a change. So a great project, and I think it caused also a lot of headaches, because everything had to be ready by today. You have to think about a lot of different angles that you need to address. At least being also compliant with the six stock exchange that links on the six page are updated as well. Otherwise, I would receive a call from the -- from the regulator, and I would not want that this afternoon. It's a different time today. So that is the new brand image. You've also seen we have a couple of annual reports also there to design completely new, and I think great achievement and really, really well done by team. With that, I guess, it's time to go into the bid that you all came here for, which is the Q4 and full year results. I guess, with the high-level release that we now issue in January on a regular basis before going to several conferences in January. You knew the headlines, but today should also be, of course, a bit more details about how we see the future this year and then beyond. We will not go too far beyond 2025. For that, we will have a Capital Markets Day on the 20th of May in Haag, in our new innovation center more about that after the presentation. So with that, I would like to hand over to Urs, our CEO, whom you all know very well. And yes, the floor is yours.
Urs Gantner: Thank you, Michel. So first of all, [Foreign Language], some of you still understand that here, but of course, everything will be in English. So good morning, ladies and gentlemen. Thank you for joining us, again, in the guild house zur waag [ph], wonderful environment here and also on the webcast, and over the conference line for the presentation of our full year results. I'm very excited to be here. And most of you probably have seen already the results. So we are very proud on the results we achieved last year, and even more excited about the future, what's coming in 2025 and beyond that. So for today, I will start with the review of VAT's business highlights 2024, and then hand over to Fabian Chiozza, our CFO, to a deep dive in the financial numbers and then I will provide a market expectation and an outlook 2025 and beyond. I think we will close with a Q&A. We will reserve enough time for that. For those online, please use the chat box or follow the instruction of the operator. So let's start with the highlights 2024. Our markets, and in particularly, our main market semiconductor, experienced a transitional year in 2024. Our customers' inventory returned to normal level. I think this was the base in the end for the growth. And over the year, we had kind of ordinary run rate pattern over the whole year. So we would characterize the whole year as normalization from the quite low sales levels we saw in 2023. However, VAT is not only dependent on external factors, we also delivered a gross profit margin this year of over 66% and an EBITDA margin of 31.2%, despite continuing our investments in infrastructure and a record level in R&D. As we always stress, we have to invest ahead of the cycle, so we want to be ready when the market is growing. This brings me to three key messages I want you to take home from today's event. The first one, which is also represented here, we returned to growth in 2024. So 2024 represents a growth year in our core market semiconductor with orders up 84% and sales up 22%. This shows we came out of the drought, and we returned to normal run rates. And this we achieved despite of quite an unfavorable shift in wafer fab equipment spend towards more mature nodes and higher share of legacy lithography tool, which are not vacuum tools. Both these trends were driven by China. VAT, certainly also, was profiting from the growth in China, but the muted investment in leading edge certainly delayed our growth in adjacent products. We increased market share in semi overall, and in semi and overall by 2-percentage points. I think that's a great achievement as well, and it shows that our strategy of growing -- outgrowing the market is kicking in. Outstanding in 2024 were the achievements in spec wins. With 132 spec wins, we achieved a new record. And this is the testament, in my point of view, of our customer centricity and the innovation spirit we have in VAT. These spec wins will turn into additional sales in the coming three to five years, and therefore, will fuel as well our growth story in the future. The second point is that we are ready for additional growth. So we did a lot of – we made huge progress in our footprint expansion in operations and for our innovation community. Our 1B plant in Malaysia is up and running, and we increased our output from our facilities in Malaysia to CHF 330 million. The run rate at the end of the year was already close to CHF 500 million. In summer, we have started another project in Romania. So we started to launch a new facility in Romania, which will be completed in the course of this year. And of course, as already mentioned, the innovation center, the new heart of VAT in the future. The opening will take place in the coming months, and you will be invited to see and experience during the Capital Markets Day. The third one I want you to take home is that our long-term growth story is alive. I often get asked about the short-term development. But what excites me in our industry most are the long-term perspectives, both in the sheer size, but also in the technology advancements. Okay. So coming back, our long-term story is still alive. So the sheer size of semiconductor will grow, but also the technology advancement and the technology change. This grows to this 1 trillion semiconductor market coming from this 500 billion last year or the year before. Semiconductor will also outgrow GDP in the next decades, not just in the next years, but in the next decades, driven by the megatrends, in digitalization, but also the power and the energy transition. And here in energy transition, also our non-semi business will kick in. We will benefit in investments in solar and also in both pathways in the nuclear, infusion and on to the fusion technologies. But also in the near-term, the stars are lining up nicely for a great year of growth in 2025. I always say, even if wafer fab equipment would be flat this year, we will grow in 2025 because there is a technology change coming. You see all the fabs building up. You hear about the end users but they are going to invest, and these investments will go in 2-nanometer and beyond and below. So this will have a huge change in technology, where our share of wallet is much higher. So we will certainly benefit already in 2025. However, the market and the political environment is foggy, and this means we need to remain flexible to service customers with the right product, at the right time and at the right location. I want to thank the whole VAT family for what they achieved in 2024, and that they keep so flexible, they stay so flexible in all this environment. Our employees, certainly, I see always as a differentiator and goes back to the founding 60 years ago. Yes. Slide number 5 gives you an overview about the key figures. I will not go into too much detail here, since Fabian will do a drill down of these numbers with you afterwards. But let me pick out two main numbers. The order intake was the second time in VAT history was crossing the CHF 1 billion, certainly a fantastic achievement again last year, despite of the muted market environment, especially in ADV. And the number at the bottom right, I'm particularly proud of the number of spec wins. I'm very proud on that and that shows that our engineering team has been working closely and diligently with our customer. And this number is both a sign that we have the right technology in place and serve the -- our customers in the right way. As mentioned before, these spec wins will not turn into sales just in the next year, but this is the forward-looking confidence we have in our market and in our growth story. One of the key success story in 2024 was that we did win all major applications on the new OLED manufacturing tools. So evaporation, deposition, etch it's all VAT products on the latest technologies. On Slide 6, we show you the split of our revenues into the different market segments. With the weakness in ADV, our overall exposure in semiconductor industry is around 80% this year. Advanced Industrial now accounts for about 15% of our business, but I don't think this is -- represents a structural change in our business. It's more the reflection of a weakness in some of the end markets, especially in solar. So solar was last year close to 0. But this will come again, and then ADV will have, again, interesting growth stories as well. From a geographic point of view, two out of three products and services end up in Asia. As investments in Asia and the Asian presence of our key OEMs remain strong, I expect this dominant share to remain at this level as well. It's one of my favorite slide, of course, to present to you. It's Slide number 7. You have seen earlier in the presentation, and we -- the market share is our lagging indicator for our forward-looking spec wins. So I'm proud to present the continuous progress we see here in our market share growth. We won another two percentage point overall in 2024, and we increased from 75% to 77% in semiconductor, and this despite the earlier mentioned unfavorable mix. These numbers prove that we are on track and our strategic initiatives kick in successfully. I mentioned the unfavorable mix before. So let's have a close look at what happened here. Since the market correction in 2022, there was one main source of wafer fab equipment demand. It was China. In 2024, you see it on the slide, it's 44% of wafer fab equipment went into China. And therefore, it was more the lagging, mature etch that went into the market. Year-over-year, China did grow eight percentage points. On the application lithography, especially the DUV, the non-vacuum lithography machines, saw a strong pickup also mainly into China, and of course, this was from a Chinese point of view, kind of purchasing as long as they can before restrictions kick in. This had as a consequence that the vacuum-related wafer fab equipment did only grow two percentage points. We anticipated earlier that this growth is going much faster. But also for VAT in 2024, the share in China was on a record level on 30%. This is the share we do directly with Chinese OEMs. And I expect that this will remain on a high level. It will go down a little bit, while still China will be a main market since the domestic OEMs will grow. This concludes my initial remarks, and I now hand over to Fabian for a more detailed look into the financials.
Fabian Chiozza: Good morning, and also a warm welcome from my side to all of you here in the room and certainly also to our participants on the webcast. After successful application of our downside protocols during the correction year 2023, last year's focus was on transforming VAT to harness the future growth opportunities. On the financial review, there are key messages that I would like to introduce to you now. First, as it has already been touched, we had a stellar growth on orders year-over-year, up 49%, 84% up on semi and sales in our semiconductor business up 22% year-over-year. This is a solid sign of the overall improvement of our market environment. Secondly, we improved our gross profit margin from 62% to 66%, increased EBITDA by 8% or 60 basis points amidst adverse FX effects and the record R&D spend. We also invested a lot of efforts into internal work that has set up the company to capture the next growth race. One of the largest transformation project that this company has ever gone through, our ERP implementation has seen the go-live in Switzerland in summer. We have concluded the investments into Malaysia, 1B Innovation Center was mentioned, but also started to build additional capacity for internal supply in Romania in order to further harness the opportunities of natural hedging. Let's start with a quick recap of our order patterns for 2024. As I mentioned before, there was a considerable increase in our pattern as can be observed here on the slide. Overall, 49% up, semi 84, and GSE also 30% up. There was also a continuous improvement of order intake that we could observe throughout the year. At this point, I would like to highlight again, that's important to take Q4 orders at face value. There haven't been any seasonal effects like pull-ins on missing price increases, as we had observed in the two years prior. Jumping now to chart 11 shows us the development of orders through the cycle, compared to both trough and peak levels, we are somewhere at midpoint. As we communicated with you since last year, we are out of the recovery phase, but certainly not in a ramp phase yet in the market. Our sales grew 6% overall, in line with market growth. As Urs has mentioned, this has been accomplished, although the WFE composition was certainly not in our favor during last year. We also observed sequential book-to-bill growth as high as 1.2x in Q3, which then reverted to 0.9x in Q4. Adjusted for the sales recorded in Q4 after the communication that we have issued in October, this ratio would also be above 1x. So overall, I can summarize that this picture is a bit lumpy on the order side, but the trend is clear for growth in orders and sales. Let's have a look at our segment Valves. Here, again, we see clear -- the clear growth driver of our 2023 financials was our business unit SEMI within the Valves segment. On the other hand, ADV has slowed the overall picture in 2024, especially as solar demand was a huge disappointment. The silver lining, however, was a positive order intake growth in ADV in H2, which we will harness and convert now into sales during the course of these years. Semi orders have gone from strength to strength in 2024, whereas most of the 84% growth has been accomplished already in the first semester. And I think here, we can definitely demonstrate also the uncertainty that was observed in the second semester on our markets, fueled by geopolitics, but also by large chip manufacturers focusing on their internal issues. In sales, we saw a constant development throughout the two semesters in 2024, which underlines the continuous recovery of the semiconductor markets. The picture on our Global Service segment is very characteristic for the market environment. We had observed great momentum into the first semester in all key business areas; for example, in our consumables and gates. However, retrofits actually turned negative in the second semester on slowed upgrading activity, resulting in a 28% reduction. More recently, memory manufacturers and customers were talking about acceleration of HBM and NAND upgrades and this looks like a temporary reversal. With utilization rates high, both spares and consumables business posted similar results in H1 and H2 with flat growth rates. One of the highlights of 2024, as I alluded to before were certainly the stellar gross profit development. In 2024, we achieved 66.4%, up from 61.7% a year earlier. Our gross profit development is usually quite sticky with the exception of inventory build-related increases accounting for about 150 basis points in the 2024 numbers. The remainder has been accomplished by our religious focus on continuous improvement measures as well as mix effects. I think this development is a great starting point to harness now the operational leverage that we expect to kick in during the course of this year. On the EBITDA development, we moved away from the 2023 lows and hit our margin band again in the second semester of 2024. The increase of 60 basis points versus 2023 was achieved despite adverse FX effects, especially from hedging activities and a record R&D spend beyond CHF60 million or 6.5 percentage points of sales. Let's move to the bottom-line. Depreciation and amortization increased by three percentage points, yielding an EBIT of CHF250 million or 27%, that's 1 percentage point up compared to prior year. Net finance again contributed CHF2.4 million on FX revaluations on bank accounts and also intercompany loans. Taxes, however, returned to the normal rate with 16%. That's a doubling from the prior year effective tax rate on top-up taxes from BEPS 2.0 as well as a reversal of prior year effects. To conclude, net income was up 11% and reached CHF212 million. On free cash flow, we had a slight decline to CHF183 million, mainly on increased net working capital levels. The conversion rate of 62% is also reflecting the balanced spend in light of current market development. Full year CapEx for 2024 ended at CHF56 million or 6%, driven by the major investment projects in Malaysia and in Haag. R&D spend, again, to underline that was on a record level, up 13% and closed at CHF61 million. We continue to drive our conservative balance sheet policy. Net debt slightly increased to CHF84 million resulting in a net debt-to-EBITDA ratio of 0.3x, which is still very comfortably below the ceiling of 1x. Last, but not least, our equity ratio closed at 58%, in line with the long-term average of around 59%. Let me conclude with a recap. First, on the achievements 2024. As I mentioned, we continued the preparation for market growth over the course of the year, focusing on capabilities, both on the R&D, the engineering side, but certainly also with the implementation of our new ERP system, but then also investing ahead of the curve in order to be ready for the expected market growth. The slowdown in CapEx in the second semester is reflecting the pushout of certain semi investments. Completed Penang 1B Innovation Center, again, will open during May. I'm glad to report that the implementation of our new ERP system in Switzerland has now been successfully completed, and we were able to increase Q4 factory output even beyond the pre-ERP changeover levels. So also here, I would like to thank everyone that supported this open-heart surgery, which was definitely requiring a lot of efforts and sweat. Now to the finance priorities for 2025. I think as you know, VAT over the course of the last year, we will continue our disciplined cost and capacity management closely monitoring the customer development and also their requirements. We continue to drive our flexible operating model to reflect the increased uncertainty from geopolitics and macro development. Then again, the manufacturing footprint has been completed in order to provide capacity beyond CHF 2 billion. We will continue to invest this year, especially in automation and also some capacity increases in Haag and then also complete brand-new factory in Romania, which will then also provide the growth potential on internal goods, which we will then convert into products in our factories in Switzerland, but also in Malaysia. Last, but not least, we will continue our ERP rollout. So we're not the end of this journey yet, but we have completed now all the manufacturing sites. And this year and next year, now we will focus on the rollout in our sales and service entities, with the target to have then this project also completed in 2026 and then have an integrated end-to-end system where we can then also harness all the digitalization opportunities that we have already lined up. Last, but not least, I'm also glad to reiterate here the dividend proposal that we have agreed with our Board towards the AGM of CHF 6.25 per share, this is unchanged to 2023. With that, thank you very much for your attention, and I'd like to hand back to Urs for his closing remarks.
Urs Gantner: Thank you, Fabian for this deep dive. So it's still time to buy, right, some shares, is a nice dividend coming. So as I mentioned in the beginning, there are a lot of stars lining up nicely, and our outlook session aims to cover this in detail. At the base, the main driver is shown here with the green bars and this is the growth in semiconductor. Coming from last year in 2022, roughly at the US$500 billion, 2024 was already a record year, again, with roughly US$680 billion and also this year, we anticipate quite a big growth of double-digit growth and the first time it will certainly cross the US$700 billion this year and then the road map to this US$1 trillion, everybody is talking about. This growth in the end will require fabs, and this is then kind of the dark green part. So we anticipate that for this $1 trillion industry, wafer fab equipment will grow to $150 billion in 2030. Of course, we all saw the news flow at the start of the year and the debates on AI. And I also want to just add one sentence on that. There is no question that there is a hype around AI. However, the demand for better logic chip, HBM and more NAND layers is real and AI adoption is fueling this shift. And this brings me back then to technology, why we need the next generation of technology with the gate all around, it's a 2-nanometer and below and this will fuel then the latest wafer fab equipment tools, and this is where we want to will benefit going forward. So if you have a closer look now on the wafer fab equipment, just the outlook for the next three years, then you see that this volatility the market is in, right? Of course, market consensus came back a little bit compared to half a year ago. So there is a slight growth expected with a huge bandwidth. And this is the stick of volatility, we are, at the moment, navigating through. Interesting, in three years, everybody is aligned and knows what happened. That's always very interesting. But short-term, we have to navigate through these uncertainties. China will certainly still play an important role in this market. Even restrictions will be coming. But the domestic OEMs, they are investing a lot and they are growing year-over-year. Why I'm -- despite of this volatility, why I'm still there so positive also for the 2025 is shown here. If we dig now into the wafer fab equipment and see what is the node size, the leading etch, and I call leading etch below sub 7-nanometer nodes, you see that in the next until 2030, it will be tripled. And this is a huge amount of new tools that go out and the fabs that will be equipped with latest technology where our share of wallet is bigger. And for 2025, they have to invest because the wafer start, on the right-hand side you see, it will kick in, in 2026. This is the wafer start for 2 nanometers with a huge growth rate and so investments that have to happen this year. On Slide 24 you see -- now you all is on 25. Here is summarizing the manufacturing equipment. And if we want to stress the complexity that is arising. So with these 2-nanometer processes, they need up to 2,000 process steps. 10 years ago, it was around 800. So they increased it now to 2,000 process steps and new equipment will come in. The old structure was a typical etch tool or a deposition tool, and the new configuration they can vary, they can have different chambers, deposition etch, alternating and use that in a very optimized manner. And on these tools, actually, we own the vacuum systems. We own the valves, but more than valves, also we have our adjacency qualified there. On the right-hand side, you see also the vacuum-related wafer fab equipment is going to grow. What I mentioned before that this was only 2-percentage point in the last year. But in the mid-term, this will go up to 66%. So this is summarizing, why I'm really so confident why this growth will come for VAT. On the right-hand side, you see the 124 fabs in planning, in construction. They have to be built, the built with equipment. We see the technology build-out to the gate all around. It's just the next step, more to come. So they will not stop with the 2-nanometer. There is already the 14 angstrom era coming and then going down to the even atomic layer in the end. Driven, of course, it's always the end users who have to drive that. But basically, it's coming also through this AI, everybody calling, a hype. But a few years back, Internet was a hype as well. Internet of Things was a hype and today, nobody is talking about it anymore, but it's just using it. And this is what's happening also with AI in the future and will drive the demand of chips. And the spec wins, very important, that's kind of our insurance to the future. If we win now on the latest tools, if we win more share this will kick in once the market is going up. Based on all this, I'm confident and to summarize the outlook and also the guidance for 2025 that we have a great year ahead. We'll see significant revenue growth in 2025, and we will also have a higher EBITDA, EBITDA margin, net income and free cash flow compared to 2024. Our pure-play model in semi, which is based on our close partnering with the leading wafer fab equipment tool manufacturers, will benefit from any trend that drives more chips and we will even more benefit from trends that drive leading-edge applications. Our share of wallet on the latest generation of tools is steadily increasing through the launch of our adjacent products and highly customized solution. A further element of success and growth is the installed base. More and more valves are installed in the field and need service, upgrades and retrofits. The fab utilization is expected to grow this year with kind of utilization is going up, and this will also call for more service business, repair, retrofit and upgrades. In our non-semi business, however, the signs are a little bit mixed. Certainly, there is the energy transformation, but this is project business so far. So going to fusion or the fission technology, the uranium cycle, it's more project-based, but it's a lot of traction. R&D facilities, globally, show a promising pipeline, many projects in our pipeline. And in scientific instruments, we see the main growth potential adapting our OEM model and offering solutions beyond valves as well. Also in 2025, we will keep expanding our operational footprint, operation footprint as well; invest in R&D, certainly will be another record year in R&D; and in our people. For the first quarter, we expect sales between CHF 275 million and CHF 295 million. So to close, let me go back to the first statement I had in the beginning. The three points I want you to take home from today. First, 2024 was a return to growth, a fantastic year. Orders and sales grew significantly in semiconductor. We expanded our market share by 2 percentage points and we achieved record spec wins. Second, we are ready for additional growth. We invested in our footprint globally and created capacity for our customers. And the third one, the growth drivers are still intact. It's unchanged or even accelerated now through the AI and even the DeepSeek is kind of accelerate and fueling the investments in additional chip. Before we move to the Q&A, I would like to invite you all to attend our capital markets update, scheduled on May 20th. In the morning, we will offer a tour through the innovation center and our factory; and in the afternoon, the management, the VAT management will present a strategy update with the mid-term outlook. We will also host a webcast for those who can't make it to the Rhine Valley. With that, I'd like to conclude our remarks and hand over to Michel for our Q&A.
A - Michel Gerber: Okay. Thank you very much, Urs. So you know the drill, when it comes to the Q&A. I will first take a couple of questions from the room. And I kindly ask you to wait until you have the microphone. Otherwise, our other participants on the webcast will not hear you. Then I will switch over to the virtual session with a couple of questions from the conference call, then come back here and so on and so forth. We also have at least two questions already received over the webcast. And yes, let's start here with Michael?
Michael Foeth: Yes, thank you. Michael Foeth, Vontobel. Just three points. The first one is your qualitative guidance for 2025. Could you put that into perspective with the original target that you had of CHF 1.5 billion in revenues? Obviously, that was at a higher exchange rate. But still, is that fundamentally still within that scenario? The second point is what risks do you see of further significant export restrictions to China that could affect your customers and with that demand for your products? And maybe also put that into perspective with the investments that were announced in the US by TSMC. And then finally, the CapEx intensity seems to be quite a bit higher also in 2025 than your target range. Is that now – for the fourth year, it's now significantly above. Is that range still realistic or will we drop substantially below that range in the future?
Urs Gantner: Yes. Well, let's stay with the first one. The first one was if you are still in line? I think you referred to the Capital Markets Day 2020, right, where we had a guidance to the CHF 1.5 billion based on wafer fab equipment, 135 other 27 at 110 at a different exchange rate, yes. Basically, of course, we went now to this down, let's say, the pause. It was not a real down in wafer fab equipment, right? It was always growing but just kind of a pause. We are in line with that. But as you see, the wafer fab equipment will be lower this year. It's a little bit muted. And more we are kind of also the technology transition was also kind of pushed out now I think we will benefit, as I mentioned once this will come, this 2-nanometer is coming and as well also the NAND by end of the year. Our customers are very confident there will be kind of also NAND investments coming where we normally benefit since we have a very high share at these customers as well. So I would say, we are on track based on some corrections with the FX and the wafer fab equipment. So as you see, we point off now, what's in our hand is the spec wins, right? What we drive back wins and winning more share and share of wallet on the tool, there we are completely on track and also on our technology advancements I think we would say we are even ahead of what we expect it to be today. Second was on tariffs. Also an element I cannot influence at all. Our customers, they would hate it, right? And they will certainly show up in Washington to influence that. In the end, also our US customers, their operation is a big part of their operation is in Asia. And so we will be very close with our customers to find the right approach, how to tackle that. I also feel that the semiconductor is kind of a national security topic, right? Why they should put on tariffs on something they really need and they are also dependent on a global work setup. So I'm not too concerned on that. Our strong market share we have with these customers, our share of wallet either they have to pay it or we find ways that we can avoid it.
Fabian Chiozza: Good. And then coming back on the investment, let's say, trajectory. I think when we set the guidance back in 2022, we already alluded to the fact that it will be front-loaded given the major investment projects that we brought into the pipeline with Malaysia 1B, but then also with the innovation center in Haag. Now this is completed. As I said before, we also saw the opportunity to really focus more on automation, but also on in-sourcing more in best cost country, which then ultimately also helps us to mitigate the adverse exchange rate effects that we have observed. And I think also here, we really need to prepare ourselves for continued strength of the Swiss franc, and therefore, we decided that we would also like to harness the opportunities that we see in order to do more outside of the Swiss franc. Now with regards to the profile, I'm happy to confirm the 2025 year will be, let's say, the last year of this elevated spend, and then afterwards, we will see this coming down well in the range that we have communicated.
Michel Gerber: Okay. Thank you, Fabian. And that just reminded me that I left out a smaller but important part of my introduction to the Q&A. [Operator Instructions]. Thank you.
Unidentified Analyst: It's [indiscernible]. Two or maybe three questions. But you have had this elevated increase of staff, 20%, I understand. Revenue went up by 6%. Can you elaborate a bit on that? Do you have no excessive staff, but maybe with good reasons because you want to prepare for growth? First question. Second question. You mentioned, I think, that even in Haag, you are going to at least some land will be provided or additional land for expansion, I understand what are you planning there in terms of capacity extension? And maybe just a third question. But Europe, I mean, you've mentioned that it's fallen a bit behind there. Some of these projects for new fabs have been delayed or even canceled is what are you expecting there?
Urs Gantner: So we skip the third one, right? So you are only allowed two, or we do one A and B. Okay. Let me start with our people. Certainly, we -- as I mentioned before, we always invest first ahead of the cycle. So we have to be prepared if the market is growing. And as you have seen, the market did grow quite a bit in semiconductor. So we anticipated that and of course, had to invest that. And even more important in our -- for our headquarter in Haag is the innovation center and all the technology and the Horizon 2, as you call it, the complementary products that are now in the pipeline. So you have to invest ahead of that and bring in the right skills and expertise, and this is a big part of the growth we had in the last year. Then maybe for the land, I hand over to the Finance Minister.
Fabian Chiozza: Thank you. Look, we have observed the opportunity to capture quite a sizable business for a European company in this space, which is only mindful also in light of our sustainability initiatives to be produced in Haag. And for this specific business, we will now invest over the course of the next two years into additional manufacturing capacities in Haag. At the same time, we're also consolidating basically three sites into one with the new innovation center. So for those of you who have been around, our footprint or our campus in Haag was very scattered. We also had offices in communities outside of Haag, and now we're basically bringing all together and also starting really to harness the opportunities that you have from these people collaborating on site. So also for us, this is a totally new experience now. Finally, after three years of planning, designing, constructing that we have that together. And I think this will also fuel all the innovation initiatives that we have running. So bottom line is, yes, Haag is and remains the epicenter of this company. But at the same time, also the other locations are continuing to grow, and we will have certainly a second flagship campus in the cluster down in Malaysia.
Michel Gerber: Okay. I'll take two more questions here. Well, first, Jorn, then Jorgen.
Jörn Iffert: Jorn from UBS. Two questions, please. The first one is on China, which is around 30% of your sales directly with Nara, AMAG and maybe 1 or 2 smaller ones. How do you see the destocking risk in supply chain given that their inventory to COGS ratio sits at around 130%, 140% versus industry average of 30% to 40%? And do you think it's just a preparation for strong growth in the next five years? Or do you have any indication signals that there could be some destocking coming up after they had some pull forward demand? Then I have a second question, please.
Urs Gantner: Okay. So China, don't tell the others, they are small, right? They are also pretty strong. But of course, now AMAG and biotech, they are certainly the major customers there we have. Of course, they are looking for the growth in the future. So they have probably -- the self-sufficiency rate in China is still pretty low. And they have a clear plan. They want to be self-sufficient in the chips, but also in the equipment. That's why for them in the short term, stocking, it doesn't matter that much. They want -- they are focusing today on achieving the same level of technology and know-how to produce as good as chips as possible. I think for them destocking is not that important. And they have a lot of projects running. So they have to come up with the full entire value chain for the chip manufacturing. And it's all under the pressure on these 3 companies in China. The more restrictions are coming, the more pressure is internally on these companies that they can build the chips as well. So for them, at the moment, it's just the technology, technology, technology, and they have to come up with the right solutions.
Jörn Iffert: Thank you. And the second question would be, please, there was an interesting chart regarding the vacuum intensity or the vacuum process steps out of the total semi wafer equipment. spending, which is increasing quite nicely. But just to double check this, is it not double counting when you say, look, the vacuum steps are increasing, but this is also a driver at the end of the day for the total dollar terms in term from semi wafer equipment CapEx? Or is this within these really CapEx that you can strongly benefit from our VAM intensity that's not double counting to clarify this?
Urs Gantner: No, it's not double counting. So normally, these numbers, we just refer to the numbers we get, right? And they show normally the total wafer fab equipment. But for us, the most important is the portion in it that has vacuum related. And there you see in the past, it was between roughly 55% of the total wafer fab equipment has vacuum content. And now this is growing. So this is also that our market is growing in the total of the wafer fab equipment.
Jörn Iffert: Thank you.
Michel Gerber: Next question here,
Jürgen Wagner: Jürgen Wagner with Stifel. Thank you. In your outlook statement, you mentioned leading edge logic and a bit high bandwidth. What are your clients or your large customers telling you how they see traditional DRAM and NAND CapEx dynamics this year? And a follow-up to the China question, how much of your current order backlog is for those local Chinese? Thank you.
Urs Gantner: The China question maybe first. I don't have exactly the number in my mind, but I think that's similar to all the others as well that we have a good visibility with them, what they are using, they're becoming also more and more important to us. So, we're setting up key account structure with them as we have for the Western global accounts. So, we are working very closely with them. So, it's less about what kind of backlog, but how close we are aligned with these customers that we understand what they need. And this goes sometimes then also in agreement that we have consignment with them for certain products, having the buffer that they can react very fast on the demand from the market as well. I think that's more important for me to manage these customers, more important to be very close, understand what they need, what is their next technology node they want to achieve, what products they will need, and then we are in actually daily exchange with these accounts. So, it's -- as I often say, in semiconductor, there are basically 10 big customers or even less and we have account structure around them and very close to them and can align what is required when and also where, right? So that's, I think, somewhere -- what I always say this is our customer centricity. I want to be very close to them to react very fast. So, I don't have the backlog number in my mind, but I think it's a constant flow and we have to align what they need. The first one was around?
Michel Gerber: What's the second question, again--
Jürgen Wagner: Yes, what your key customers are saying? How they see traditional DRAM and NAND CapEx dynamics to shape out this year?
Urs Gantner: Well, here, of course, we here -- we see what the end users are investing. Interestingly, in the DRAM and HPM, there is a new number one now in the market. not in the size, but in technology. And this is, in the end, what matters that you have the best technology. It's also a Korean company, and they will invest a lot now in this HPM and really DRAM-related. And I'm sure the other one will fight for this number one position again, and that's good actually. So, they also will have to invest. They have some internal issues, I would say, to sort out first, but certainly, they will not give up and fight back. So, this will drive this kind of DRAM investments. Logic is certainly driven by the clear number one in the world and can even -- I normally don't say any names. But everybody knows the clear number one in the world in logic and foundry and just announced huge investments again. And this is all leading etch stuff they will come up and this gives that confidence. And then we have the NAND. That's always a little bit foggy. Here, of course, it's mainly the volume. It's also not that leading etch, if it goes to NAND. There are certain process steps that are very critical, especially if the stacking is going up. The stacking is easy kind of is deposition in etch, but they always have to drill the holes as well. So, certain process step are very critical as well and this also. So certain process step are very critical as well and this also. So what we hear is that certainly in 2026, there will be a boost in NAND again. And this we would see normally a quarter at least earlier. That's why I say I'm confident that by end of the year, we will also see more orders for the NAND.
Michel Gerber: Okay. Thank you, Urs. So now we would, for the first round, go to the operator and take some questions from the virtual attendees.
Operator: The first question from the phone line comes from the line of Scemama Didier, Bank of America. Please go ahead.
Scemama Didier: Yes, good morning gentlemen. Thanks for taking my question. There's a couple of questions. First of all, on the order intake, if you could give us a bit of your color on how you see orders shaping up in the first half? And including in there, whether the ERP issues are now behind us? And then the follow-up question would be the seasonality you see whether you think like normal seasonality H2 versus H1 is appropriate at this stage for calendar year '25?
Urs Gantner: Yes, to the order intake, just shortly. And I relate that also to the graph, I've shown you of wafer fab equipment in the next three years. And I pointed out there in three years, everybody is clear what it will be. But in the next two years, it's a huge band. And I think this is also kind of reflecting this kind of tick of volatility, right? We see now also in the order intake. So, can go very fast, but everybody is also cautious in the market. And this is what I expect now for the first two quarters. And then normally, if there is more clarity in the market again, if less news are coming every week or every day on some constraints, this will also level out and give more certainty and everybody can plan according to the new setup.
Fabian Chiozza: Yes. So I fully agree on that, the order intake will remain a bit volatile during the next months. And looking at the sales, I think what we have shared with you earlier on remains valid. So we're going to see a flattish to slightly up development in the first semester. And then as Urs has pointed out given on these investments, especially in the non-space, we do expect then this also to reflect in the order increase first, probably over the course of summer and then have quite a backloaded sales increase later this year.
Scemama Didier: Okay. Thank you very much. And if I may, just on 2027, I understand that the market environment is different. And obviously, WFE is lower than we would have thought on the time, but do you have any thoughts on 2027 guidance is now -- is that achievable or is that something that you think is pushed out to maybe 2030?
Urs Gantner: Well, of course, we cannot give a clear number on that. But what I always can say, we are working on the spec wins. We will be qualified on the tool, we will be ready. We have the infrastructure ready. We are ready to deliver if this is going to happen. The outlook, who knows what it will be. I think 2026 at the moment is the boost year. And then we will see how long this cycle will last. But we as VAT, we have to be ready. We want to have it to come with new products into the market and then benefit when the upturn is coming.
Fabian Chiozza: Yeah, Didier, I think, we still have three full years to go up until we get to that milestone. Remember that, the guidance was midpoint 2 billion, so from 1.8 billion to 2.2 billion at an FX of 0.95. So if we take everything into consideration, I think with the current trajectory that we have, that is still very reasonable and I would also like to remind you that on May 20, we have our Capital Markets Day, we will then also provide more color on how we see certainly 2027, but also beyond.
Michel Gerber: Next question, please operator.
Operator: Next question comes from Daniela Costa from Goldman Sachs. Please go ahead.
Unidentified Analyst: Hi. Good morning. This is This is Neha [ph] from Goldman Sachs. So two questions for me. The first one is price increase as you did earlier as the first prior two years. Was it related to tariffs? And are you planning to do any price increase for this year? And I'll ask my second one.
Urs Gantner: Yeah. Hi, Daniela, good morning to you. So we have had price increases over the course of the last two years following this very sticky inflation environment that we have observed. And so it was just also of utmost importance for us to preserve our margin and also pass this on to the customers. Now, you need to understand that different than other businesses also where I worked before. In the semiconductor industry, it is not customary to increase your prices. So over the years, we have had very stable prices, which, by the way, you can also see in the end products that do not increase from one generation the next. And as such, as also inflation is coming back. We have only applied very selective minor price increases for this year, but certainly not in the semi space.
Unidentified Analyst: Understood. And my second question is on adjacencies. What's the contribution in 2024? And any product wins would be helpful here as well as your growth expectation for adjacency into 2025?
Urs Gantner: Yeah. So the adjacencies certainly were a little bit muted this year, last year because, as I mentioned, it was not the leading etch going into the market. But still, there was a growth also in adjacencies and especially in spec wins. Our spec wins rate in adjacency is going every year up and up. So this is a positive vector. I see that we will outgrow then the market also in the adjacent product. In total, so I think it was around 10%, 12%, I would say, was an adjacent product, and this is going to increase now over the course of next year. We had fantastic news spec wins, but as I mentioned, we are not kind of disclosing names of the customers, it's such a small industry, but one of the number one, we won a very important new product that will come to the market over the course of the next three years. This is qualified, and we will see some traction there.
Fabian Chiozza: And maybe let me add here that, we have set for 2027, which sits at CHF 300 million. Remember also that this is composed of advanced modules and motion components. Now, we have new products already generating and contributing towards this target. And therefore, we remain very positive on, also not only achieving but even overachieving, this target on the adjacencies. As we see now, the spec wins materializing and the new generation of platform being installed by our customers with more share of wallet by VAT.
Michel Gerber: Okay. Thank you, Fabian. I understand…
Unidentified Analyst: Thank you very much.
Michel Gerber: We have Timm on the call as well with a question.
Operator: Next question is from Timm Schulze-Melander, Redburn Atlantic. Please go ahead.
Timm Schulze-Melander: Yes. Hi. Good morning. Thanks for taking my question. I have one for Fabian and one for Urs, please. Fabian, now that we have the ERP system implementation behind us, could you maybe just give us an update about how you're thinking about the way VAT reports, and maybe the adoption or the evolution towards a more sort of standardized P&L structure and reporting structure relative to peers in the group? So that's question one. And then for Urs, you mentioned a few times Romania and the facility that you're building there. Maybe you could just give us a few more details about how that fits technologically, what does Romania contribute to the group, both technologically, maybe revenue-wise, I know you've given some disclosures today, and whether that is already baked into the CapEx numbers that you've already spoken about in the call so far? Thank you.
Fabian Chiozza: Okay. Thanks for your two questions. Maybe on the first one, let's remember that we are not fully through this implementation as yet. So first, I need to bring all the entities on Microsoft dynamics before I can then also harness these fruits. But your, let's say, suggestion is absolutely valid. And we will also have to adjust our reporting, because IAS is also changing by 2027. And so our reporting structure, especially in terms of the P&L, will have to adjust. And this comes in quite handy, because we will conclude the ERP implementation and then also start to report more granularity going forward. On Romania, maybe I can answer the financial part of it and then Urs can chime in with the technologies, which we have there. Different than the investments that we have conducted in Malaysia but also in Switzerland, in Romania, we are operating in a build-to-suit facility. So that is already the case today and will also be the case in the future. So what you will see in our annual reports is the leasing obligation on the balance sheet, and that is also not going to change dramatically. However, we have an ambitious plan to quadruple the internal revenue that the site generates going forward. And again, this is just a testimony of us preparing, a, for the growth; but b, also harnessing the opportunities that we see now in order to leverage the capabilities that we have developed. Romania has really majored as a capability powerhouse over the course of the last years, and therefore, is absolutely mindful also given the FX developments that we do leverage this potential that we have there, even more. By the way, also I would say, a nice ecosystem of skilled labor that has been trained by the automotive industry, which is also in that cluster, which is now, to some part, also reducing, and therefore, we are there now also to build on that and further grow.
Urs Gantner : Yes. Let me add maybe, I think, you covered most of it already. So, Romania is nothing new for VAT. So we are in Romania since, I think, 2007 time frame. In just last year, we decided we want to bring up to our next level this facility, because we also had some quite big successes with some of our European large customers. And they wanted to operate also in Europe, also because of sustainability, not that moving everything far away. We can benefit. Romania for VAT was always an internal supplier kind of for specific technologies and expertise we can find in Romania. We also have the target, of course, that we have more and more in the country, the share of will go up. It's also helping to -- this is not that we move away things from Switzerland. We want to we have a clear focus for Switzerland, but there, we want to do more and more the innovation part, the new product introduction and the complexity. It will be in Switzerland, and then we will benefit from Romania and Malaysia from, as we call them, the best cost countries. And Romania, of course, is also kind of in the proximity. It's not too far away. I think it's a very good add-on to Switzerland, even also supporting sometimes Malaysia.
Michel Gerber: Okay. Let's quickly answer two, three questions that we received over the webcast. First one is from Craig Abbott. He's wondering WFE growth for this year is forecast anywhere between 5% to 7%. We said 1.5 times to 2 times that and when we look at the consensus, it seems to be a little bit higher than that, how comfortable are we with the consensus?
Fabian Chiozza: I think I can reiterate what I have already shared over the course of this year, also many occasions where we met. I think we feel very comfortable with the consensus, which suggests about a 20-ish percent growth for 2025.
Michel Gerber: Thank you, Fabian. And the next question we have received is from James Winchester and he would like to know what are the expectations for inventory, which remains elevated at VAT and our gross margin in 2025?
Fabian Chiozza: Yes, I think on the inventory, we have seen trade working capital going beyond the 30%, quite sticky there at, I think it was, 33% that we closed. And this ultimately is driven, as you rightly pointed out, Michel, by the inventory. Now here, I think there are three elements that we can add some color on. The first one is, as Urs mentioned in one of his earlier slides, we have a record run rate in Malaysia. So Malaysia not only achieved CHF 330 million, 35% of sales contribution, but is at the run rate of CHF 500 million. So in order to fuel this machine, we had to lift our inventories down there. Secondly, there is still, I would call it, an aftermath of the ERP implementation. As you know, we had stopped production in Switzerland for two weeks, then gradually ramped back and as we are a single source supplier to most of our customers, we just didn't wanted to take a bet. So we also there, we had provisioned with more raw material purchases, more WIP that we would usually have. And now over the course of the first quarter, we're gradually converting this into end products and then sell it off with no obsolescence risk. And last but not least, I think this was also a learning for us from the last ramp back in 2020-2021 and as many others, we were also suffering from missing parts, mainly electronics and even screws and what have you. I think here, we took the lesson. And also for some specific categories, we built some safety stock internally in order to be ready to react and also adhere to the short lead times that our customers expect from us. On the gross profit margin, as I said, the expansion was driven, I would say, roughly one-third by the inventory increases, 150 basis points and then the residual was our Darwin program, continuous improvement, but also mix effects. And I think the latter, they will remain sticky. Whereas, we will add additional initiatives, now we will also increase the contribution from Malaysia. We will also harness some of the digitalization potentials that we now have. And therefore, I think it's fair to assume that from this normalized gross profit by the inventory increase, we will see a slightly further growth going forward.
Michel Gerber: Thank you, Fabian. Next question is from Seb Kuenne, RBC, a bit a tricky one, I think. With the sales that we that are now happening into China, do we have a feel on how much is first going into inventory at these Chinese customers, just kind of like to build a security buffer and how much is already used in getting into WFE and ultimately being used in chip production?
Urs Gantner: Yes. Well, that's not the first time we get this question because if somebody is ramping that fast, it's always a question, can they also digest it, right? Can you really bring it alive? Well, as I mentioned before, China, they have to build up the whole ecosystem. They are building the fabs, and they want to be independent from the West also in the wafer fab equipment. So what we learned and we were very close to these customers, they are producing a lot. Their manufacturing is full. They need the product. They don't have time at the moment to have a lot of stock. So certainly, there might be some buffer. But with the ramp, they will also see in the next up to three or even five years they will grow over that period. Even if the wafer fab equipment would stagnate they will grow as well because they want to have to achieve the self-sufficiency. So I don't expect they have a lot of stock there using it, and we have a quite a normal pattern in order and the sales with these customers.
Michel Gerber: Thank you. So now we go back here to the room. And I think Nejc, you had a question here. Wait for the microphone, please.
Nejc Lavric: Yes. Hi, Nejc from Octavian. Maybe the first question on the spec wins. I mean you've mentioned them a few times, are you calculating those net? So if there is some push out of bigger projects like Intels or TSMCs, I mean, do you account for that? Because I would assume that in these times, maybe this should even be higher to some extent, given the uncertainty or what is your view maybe on those numbers?
Urs Gantner: Yes. Well, it's special. It's just a number of wins we have on our wafer fab equipment tool. We kind of decouple that from the commercial part, right, what's happening? Because we know there is a new opportunity, there's a new tool going is built by one of our customers, and then we want to win that. And once the customer qualified it and it's kind of they could buy it, sell it, and it's all qualified, then we count it as a spec win. So then it's, in a way, not anymore in our hands because if this machine is successful or not, you never know or when it goes to the market, you never know. That's the way we do kind of this forward-looking indicator and KPI, which we is in our hand, the engineers and sales team, they can drive that independent of all the disruptions in the market. This is how we calculate the spec win.
Nejc Lavric: Okay. Thanks. And then maybe as a follow-up question, as my second one. So you mentioned you have almost 500 run rate capacity in Malaysia and Switzerland, almost 1 billion, if I remember correctly. So you're at 1.5 billion. Is there some goal maybe to shift part of the production to Malaysia and reduce also headcount or how should we think about personnel costs for 2025?
Urs Gantner: Well, certainly, we want to bring up Malaysia. That's clearly the goal over time to have a 1 billion facility in Malaysia, but we will keep at Switzerland on this level. And of course, at the moment, it's more a mixed issue, what kind of products we have in Malaysia. We want to serve mainly our customers in Asia, out of Malaysia and now that we can also reduce the part and tourism going – flying around the world with such a valve. And we will focus in Switzerland on the European market and a lot of specialties as well, right? So we have many, many valves in all the different sectors, and we will focus in Malaysia mainly for the semiconductor, high-volume business and then keep the other business in Switzerland and also the expertise for the new products to come. As Fabian also mentioned, it's not only valves, it's more than valves to come. So we need more expertise. And also if we come up with a new product, also operations has to do the setup to produce it as well. And sometimes engineers forget about that, that what they create, they also have somebody has to produce it. And here, we need also a very strong team in operations helping us to scale up. And this is the capacity we will need in Switzerland going forward more and more.
Fabian Chiozza: Nejc, especially on the new products, you need to be close to the manufacturing, and therefore, this will predominantly come out of Switzerland. Remember that Malaysia now is on a utilization of about 90%. So we will go to 100% and then switch on the new factory 1B that is also ready and qualified. And in Switzerland, we currently are at the utilization of about 75% to 80%, and therefore, it is also necessary, as I mentioned in my introduction remarks, that we continue to expand even in Switzerland. So this thought of are you reducing your footprint in Switzerland? This we can completely scrap. It is the opposite. So also Switzerland will grow both on the production, on the direct labor, the blue collars, but also on the white collars.
Michel Gerber: Okay. Thank you. So as we are approaching the 90-minute mark, which we have planned for this event, I would like to turn over a last question to the operator. I think we have George from Deutsche, who's on the line with a question as well. After this last question, please stay here, we have a little bit something to eat for you and can further do you have some discussions with Fabian and Urs, for those who are here. So don't run away. It's already paid for. So it's included in the margin. So operator, please, the question from...
Operator: The last question comes from George Brown, Deutsche Bank.
George Brown: Thanks for the question. I only have one, actually. So just on NAND, some of your biggest customers have already started to see signs of life in NAND in Q4, but this seems to be more driven by technology upgrades rather than capacity expansion. I assume capacity expansion is better for you guys. But can you comment on whether you're also going to benefit from this technology upgrade cycle in NAND? And if so, why is this more sort of second half weighted for you guys? Thanks.
Urs Gantner: Yeah. Thanks for that question. I think we have the customer in mind, who that is. Yes, of course, first of all, they always do with upgrades and then of course, it depends, what kind of upgrades it is if they get new chambers, then of course, there's also equipment involved. If they do just of software upgrades, then, of course, there's no equipment involved but we certainly will benefit on that. And there were quite a few tools also idle in the last year. So they will have to do refurbishment and upgrades and bring them up to life, and this will at least be a service business as well. We anticipate that the build-out will then start, as we mentioned, in 2026, and we will see that in the Q4 this year.
George Brown: Thank you, Urs.
Michel Gerber: Okay. Thank you very much. Thank you very much for joining us on this Q4 and full year results webcast. The webcast will also be available on our website later on, if you want to either re-review it or refer a colleague of view to the webcast, probably be about maybe early tomorrow morning because it's not just an audio call. And with that, thank you very much, Fabian and Urs, and thank you for coming. Like, I said, there will be some drinks and something to eat for you. Its 12:30, I bet, your hungry, and a further opportunity to have discussions with senior management here. Thank you very much.
Urs Gantner: Thank you.